Operator: Good day, ladies and gentlemen, and welcome to Enersis Americas First Half 2016 Results Conference Call. My name is Andrew and I will be your operator for today. At this time, all participants are in a listen-only mode [Operator Instructions] During this conference call, we may make statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements could include statements regarding the intent, belief, or current expectations of Enersis Americas and its management with respect to, among other things, Enersis Americas business plans, Enersis Americas cost reduction plans, trends affecting Enersis Americas financial condition or results of operations including market trends in the electricity sector in Chile or elsewhere, supervision and regulation of the electricity sector in Chile or elsewhere, and the future effect of any changes and the laws and regulations applicable to Enersis Americas or its affiliates. Such forward-looking statements reflect only our current expectations are not guarantees of future performance, and involve risk and uncertainties. Actual results may differ materially from those anticipated in the forward-looking statements as a result of various factors. These factors include a decline in the equity capital markets of the United States or Chile, an increase in the market rates of interest in the United States or elsewhere, adverse decisions by government regulators in Chile or elsewhere and other factors described in Enersis Americas Annual Report on Form 20-F, including under Risk Factors. You may access our 20-F on the SEC’s website www.sec.gov. Readers are cautioned not to place undue reliance on those forward-looking statements, which speak only as of their dates. Enersis Americas undertakes no obligation to update these forward-looking statements or to disclose any development as a result of which these forward-looking statements become inaccurate. I would now like to turn the presentation over to Mr. Javier Galan, Enersis Americas CFO. Please proceed.
Javier Galan: Good afternoon and welcome to our first half 2016 conference call results presentation. I am Javier Galan, CFO of the company and with me today is our Investor Relations Director, Pedro Cañamero. Let me remind you that this call will follow the slides that have been already uploaded to our website. And at the end of it, we will have the usual question-and-answer session. This presentation shows the results of Enersis Americas on a pro forma basis which excludes Chilean activities. In any case, let me remind you that in the recommendation that was sent to the Chilean stock exchange market regulatory today, Enersis Americas results consolidate Enersis Chilean results for the first months of the year and later they are treated as discontinued operations. This is the result of the separation of Chilean activities from Americas which has been effective since March 1, 2016. Now, on Slide #2, I will start by applying the main highlights of the period. During the first half of 2016 Enersis Americas EBITDA reached nearly US$1.3 billion 12% higher than pervious year. This result was achieved despite an overall negative exchange rate impact in Brazil, Colombia and Argentina totaling US$189 million excluding gross effects operating EBITDA would have increased 28%. Net income for the group decreased by 3.1% amounting to US$511 million. The results include a one-time revaluation of past penalties in Argentina which increased financial cost by US$67 million. Excluding this effect, net income for the group would have increased by 9.5%. In generation, we sold 25 terawatt-hours of electricity during the period. This was 5% higher than the same period of last year. In distribution, we continue growing organically at good pace adding approximately 400,000 new clients in the last 12 months for a total amount of 13.6 million. Finally, let me remind you that regarding the reorganization process, the whole transaction is continuing as planned after the split of the companies on December 18 of last year and the listing of the new entities on April 21 of this year. We expect that the extraordinary shareholder meeting will take place during the month of September and we expect to finish the transaction during the fourth quarter of this year, 2016. Now, let me explain some important macro economic factors that drove a sector during the first half in Slide #3. GDP growth expectations for 2016 show two different trends, a decrease in Argentina and Brazil both driven by FX devaluation or post continuing increase in Colombia and Peru GDP growth of 2.4% and 3.7% respectively. Let me remind you that on June 23, Colombia’s President, Juan Manuel Santos signed a historical peace deal with the country’s FARC rebels after 50 years of war conflict. These will help to open the economy to private investment and in turn to create a favorable environment for further growth. Also as you can see in the slide, all the countries expect to have a positive GDP growth in 2017 ranging between 0.8% and 4.2% according to consensus forecast. The energy demand in our concession areas has diverged from GDP growth in countries like Colombia, as a result of the governmental efforts to reduce consumption to manage the drop of the first four month of the year Argentina due to weather conditions and Brazil which recovered from its negative first-quarter trend ending with second quarter. Even if average spot prices in Colombia are still high, we no longer have the effects of El Niño drought emergency of the first quarter. Hydro reservoirs are now at 67% on average and current prices are approximately US$50 to US$60 per megawatt hour compare with US$200 per megawatt hour in the first quarter. At the end of June, hasel [ph] reservoirs reached 2 terawatt-hours of energy equivalent to 24% of the national system. Brazil has over improved its other situation and it has impacted prices which now are US$44 per megawatt hour in the Northeast and US$13 per megawatt hour in the Southeast region compared with US$118 per megawatt hour last year. Finally, as you can see in the slide, the FX depreciation of Argentinian, Brazilian and Colombian currencies have continued the trend we saw during late 2015 negatively effecting the conversion of our results in Chilean pesos by 30% in average. Let’s now look at how the macro scenario affected our operating performance in Slide #4. Our installed capacity increased by 3.9% or 410 megawatts reaching 10.7 gigawatts, thanks to the completion of the 400 megawatt of El Quimbo hydro plant in November 2015 and we upgrade El Gabio [ph] which added 10 megawatts both in Colombia. Total net production was almost equal to last year in spite of a lower output in Argentina and Brazil which decreased by 9% and 10% respectively due to some maintenance in Costanera and Fortaleza [ph] plants and lower hydro output in Cachoeira Dourada in Brazil. All these events have bene partially offset in Colombia where we have been able to increase our generation output by 8% due to the combined effect of higher hydro capacity and better load factor of our thermal [ph] tanks. In addition, we have increased the total sales of our generation companies by 5% in all countries except in Argentina. In Peru, this was possible thanks to higher demand in new contracts in Colombia due to new capacity and in Brazil because of higher sales in Cachoeira. The electricity sold amounted 32 terawatt hours 1.5% higher than the same period of 2015 thanks to more clients in all countries and higher demand with the exception of Colombia affected by the energy savings measures promoted by the government. We currently have 31 6 million clients compared with 13.2 million clients in the first half of 2015. Brazil was the country with the highest growth adding up 200 and 3000 new clients. Let’s now take a look to Enersis Americas financial statements in Slide #5. The right-hand side of this slide shows the Enersis Americas financial statements that were reported to the SVS in which Chilean activities have been reclassified on the discontinued operations following the spinoff completed on March 1, 2016. In order to have a better comprehension of the first half results reflecting the new parameter of Enersis Americas, we have on the left hand side the pro forma results without the contribution of these Chilean activities. Let’s now talk about the main financial highlights of these pro forma results starting with Slide #6. Revenues were similar to those during the first half 2015 despite a negative effect of the exchange rates. EBITDA for the first six months of the year increased by 11.7% compared with first half of 2015, thanks to good results during the second-quarter which increased by 24%. It was possible because of better energy sales margin in all countries and more favorable regulation in Argentina, basically regulation 22 for generation and regulation 1 for distribution that we will explain later on. Excluding the FX effect, overall EBITDA of the semester would have increased by 28%. Net income increased by 3.1% to US$511 million. Net income decreased by 3.1% to US$511 million mainly as a result of the one-time effect mentioned earlier in Argentina for US$67 million. Net debt increased by US$400 million mainly a result of the FX conversion effect in Brazil and Colombia, net dividends paid during the period and working capital needs. We will see a more detailed explanation of these in the following next slides. As you can see in Slide #7, generation increased EBITDA by 29% excluding FX conversion rates and distribution EBITDA increased by 32%. All countries had a positive contribution in EBITDA both in generation and distribution. This scenario conditions characterized by weather, electricity prices and demand have been very relevant in Colombia, Brazil and Peru was the regulatory effect has been more important in Argentina. In the next few slides, we will discuss the specific growth factors on a country-by-country basis beginning with Colombia in Slide #8. Overall, EBITDA increased by US$41 million or 8% in the first half of 2016 including a negative FX conversion affect of US$73 million. Excluding these effect EBITDA would have been US$114 million or up 22%. In the generation business, Enersis posted 14% increase in EBITDA. This was due to the higher prices driven by the dry hydro condition caused by El Niño phenomenon during the first part of the year and 8% higher electricity sales during the period, thanks to the new hydro plant El Quimbo which began operations in November 2015. Remember that our generation company Enersis relies on a well diversified portfolio since it reservoirs are well spread in three different hydro basins and its two thermal plants were working at high load factors. Thanks to this Enersis has been able to comply with all its firm energy obligations despite El Niño phenomenon. In the distribution business condensate [ph] results were similar compared to the same period of last year mainly due to the FX impact. Excluding these results increased by US$28 million thanks to the better margins, higher types due to the inflation rate update and more clients which increased by almost 88,000 between the first half of 2015 and the first half of 2016 to total of 2.9 million client offsetting the slowdown in demand. In Brazil, EBITDA in the first half of 2016 was almost flat despite a negative FX conversion affect of 11%. Excluding these effects, EBITDA would have increased by US$45 million or 60%. Our distribution business decreased by 2% mainly due to the aforementioned FX effect. Net of these results were 11% higher or US$18 million thanks to better performance in Ampla due to lower energy purchasing costs, the annual tariff increase of 7.5% since mid-March and a higher energy demand during the second quarter. In addition, old distribution companies obtained a higher CPAs [ph] or regulatory recognition. Our customer base increased by 200 – 3,000 during the first half of 2016 surpassing 6.8 million clients. Generation EBITDA increased by 7% over energy costs in thermal plant of Fortaleza related to lower lower commodity prices which more than compensated the higher energy purchases costs over hydro plant in Cachoeira Dourada. Let’s move to Peru on Slide #10. Peruvian EBITDA increased by about 15% reaching US$275 million. Our activities continue to grow at a good rate thanks to a 2% increase of the electricity demand and prices indexed to the US dollar. As a result, generation EBITDA increased by 12% mainly due to higher physical sales of 215 gigawatt hours explained by new contract in the free market that took effect in January 2016 linked to U.S. dollars, higher energy consumption by a regulated clients and better tolls and revenues from capacity payments. Distribution EBITDA increased by 20% thanks to tariff indexation to US dollar inflation and commodities, higher energy demand and lower energy losses decreasing from 8.2% to 7.9% and value-added services mainly related to infrastructure network services. Let me finish with Argentina on Slide #11. EBITDA in Argentina increased by US$75 million or 76% reaching US$174 million in the first half of 2016. Net of FX effect which impacted the P&L by 31.8% results increased by US$157 million. Of these US$75 million increase US$19 million were obtained in the generation business implying a valuation of 47% compared to the same period of 2015. This increase was the result of the application of resolution number 22 back on March 30 which updated the remuneration of maintenance and operating cost of our hydro plant El Chocón and our thermal plant of Dock Sud. In Edesur, EBITDA increased by US$56 million or 97% mainly thanks to the application of the new tariff scheme established by the ENRE resolution number 1 effective since February 1 which offset the consolidation of resolutions number 347 and number 32. Electricity losses increased by 1.7% during the first half of the year reaching 30% and the number of clients increased by 19,000 surpassing 2.5 million clients. Let’s now have a look at the main factors that affected the net income on Slide #12. Net income was US$511 million, US$17 million less or 3.1% less in the period. This decrease is mainly explained by the increase of US$174 million in financial charges mainly explained by the following; one, the one-time effect of past penalties revaluation of US$67 million in Argentina and lower financial income compared to 2015 related to a positive one off interest adjustment with CAMMESA. And two, a higher financial expenses of US$58 million in Colombia because we do no longer capitalize the interest from the debt raised to finance El Quimbo project as well as higher costs of debt linked to inflation in this country. These two effects were partially offset by a 12% lower average tax rate down in 2015. This is mainly explained by a reduction of taxable income due to a decrease in the fiscal value of foreign investments linked to the appreciation of Chilean peso that compensate the impact on taxes of high results for the period. Let me finish this section by showing you the distribution of the EBITDA net income by geographies and businesses in Slide #13. As you can see Colombia, Peru and Brazil are the most important countries in terms of EBITDA. Net income is almost equal for generation and distribution activities once you separate the one-time effect of [indiscernible] Let’s now have a look to CapEx evolution in Slide #14. Total gross CapEx decreased by 34% during the first half of this year mainly due to the depreciation of foreign currencies and the finalization of El Quimbo hydro plant in Colombia in November of last year. The slower CapEx in Colombia has been offset by additional investments in our distribution subsidiaries mainly Brazil and in Colombia. With all these elements let’s analyze the cash flow and debt during the first half of this year in the following slides. Beginning with the cash flow evolution in Slide #15, functional operations amounted to US$612 million after working capital, tax payments and financial expenses after maintenance CapEx, we generated a positive free cash flow of US$321 million which covered growth CapEx and 75% of the dividends for the period. As of June 30, gross debt amounted to $4 billion, 40% higher than December 2015 mainly due to the negative conversion affect from Brazilian and Colombian debt of US$2010 million and the negative cash flow effect shown in the previous slide of US$157 million. The average cost of debt increased from 9.5% to 10.4% mainly due to higher interest rates in Brazil and inflation in Colombia. These two currencies represent three quarters of our total gross debt which had benefited from the substantial reduction on FX devaluation in 2015. The total liquidity amounted to US$2.5 billion which allows us to easily service our outstanding debt through 2017. This liquidity position includes committed and uncommitted credit lines of about US$671 million and cash and cash equivalents of US$1.8 billion. A short medium-term maturities are $547 million for 2016 and US$ 661 million for 2017. Let me now give you an update of the reorganization process on Slide #17, following the split of the company's record in December 2015, the new companies began to be list in New York Stock Exchange and Santiago Stock Exchange on April 21. Since then we have been working in the second phase of the transaction consisting in the merger of Enersis Americas, Endesa Américas and Chilectra Américas. This process is ongoing and we plan to hold the extraordinary shareholders meeting during September and complete the transaction approximately 30 days later. Finally, let me finish this presentation by summing up the closing remarks on next slide. Let me conclude this presentation by highlighting the solidarity effects and one-time impacts already explained earlier. The EBITDA growth during first half of this year has demonstrated the importance of being well diversified and how variables like weather conditions, electricity prices, demand trends and regulatory changes have been absorbed and managed in order to offer positive operational results in all the countries. As a result, we have been able to achieve results in line with the targets while continuing to proceed with the second phase of the reorganization process initiated in 2015. We expect to complete the process during the fourth quarter of 2016. Thank you for your attention. I will now pass the call to the operator for the Q&A session. Andrew, please?
Operator: Thank you. [Operator Instruction] And I am showing we have a question or comment coming from the line of Charles Fishman with Morningstar. Your line is now open.
Charles Fishman: Hi, thank you. Two questions, one is on slide three you indicated in Brazil that the consensus GDP growth for next year would be positive 0.8%. Are you and I realize that’s consensus of economists but are you, what is your feeling towards that. Are you pretty confident that’s the situation, that would be my first question and then second I apologize but can you remind me again on your pro forma how that differs from the discontinued operations report if you would. I know you’ve explained that to me once before but I'd appreciate if you do it again. I seem to have forgotten. Thank you.
Javier Galan: Thank you, Charles. Yes I think, I mean the number we are showing there in Slide #3 the consensus of the market I will say, we want to be more. We feel that the new situation in Brazil with the new government I think is presenting very positive or more positive future than it was in somewhat before and we expect these to capture in our business. Now, we feel that maybe it’s a little bit premature today to confirm this number which is being given by the consensus but I think we clearly see that we changed the negative situation of last year and this year towards a more positive scenario in the period of time which till we meet to confirm. But we feel positive with that. Regarding discontinuing operations, what, as you know the split formerly took place on the March 1, 2016 the split approved in the shareholder’s meeting of the 18th of November. So from a technical point of view what we are showing there in the Americas in Enersis Americas which is a continuing company of the – is the old Enersis still has in its operations the contribution of two month of Chilean activities that taken into account that are north are activities that are going to be discontinued and they were sold. It is not represented on the EBITDA but below the EBITDA level shown as discontinued operations.
Charles Fishman: Okay. So, as an analyst, I looking at the pro forma is probably more reflective of ongoing earnings, correct?
Javier Galan: I understand it’s a little bit and that’s why we thought it was useful for analysis purposes to have the slide on page number five in order to show one, which is let’s say the illegal [ph] P&L and two, which is the pro forma that reflects the continuing operations of the Americas perimeter. That’s why we thought it was more useful to make this presentation according to this criteria.
Charles Fishman: It is helpful. Thank you.
Javier Galan: Sure.
Operator: And our next question or comment comes from the line of Nicholas Lengos [ph] with [indiscernible] Your line is now open.
Unidentified Analyst: Hi, guys. Thank you for the conference call. I have couple of questions. The first one is if you can give us some color about your contract profile in Peru, what’s your average contract price, what do you expect in terms of the renewal of gross contracts especially considering the lowest spot price in Peru and also like if you can give us some color about the regulatory changes you expect in Colombia, in Brazil, Argentina, and what do you think could be the main impact of the new President in Argentina in terms of subsidy cuts and generation prices in the future? Thank you very much.
Javier Galan: See Nicholas, I mean, we don’t normally, we don’t give any indication of prices in which we have our energy contract, so what I can tell you is in the case of Peru we have for the next years and I would say at least up to 2000 at a day we have almost all we have not any open position on our generations. So let’s say, I would say we have a very high level of contract. The same I would say with the rest of the businesses of generation that we now. I can say that’s on average we have for the next three years from 2016 to 2018, we have an average energy contract of around 75%. Regarding Argentina, I don't, I didn’t hear very clear your question, Nicholas, sorry but I think that regarding subsidies in Argentina in the distribution business basically what the government has established in the new regulation on the resolution number 1, which is regulation, which is a temporary regulation would have made any – a relevant increase in tariffs to clients for the exception of the subsidized and the low income people and that has eliminated an important amount of the subsidies that were for the last years on the electricity consumption. We are waiting still and we expect, we are currently in open conversations with the regulator and the government of Argentina in order to achieve a long-term resolution, a long term tariff scheme in order to have a more foreseeable plan in terms of businesses in distribution. Now, we expect to have around the month of September, the first consultation and I can tell you that we expect this new tariff regime [indiscernible] to be close during this period of time. I don’t know that answer your question because I didn't, I wasn’t able to hear it all these, sorry Nicholas, please.
Unidentified Analyst: Yes. So, these current subsidies didn’t affect your price perceived in your generation business, right, so.
Javier Galan: Excuse me, as for the generation, yes. So, generation is resolution number 22 and yes, we had an important increase in remuneration on generation in Argentina which implies around US$48 million in this first half period and the implies that better remuneration on fixed cost for thermal with an increase of 70%, in hydro with around 120% and also an increase in cost remuneration in variable cost also for thermal and hydro. So yes, we have had a better remuneration that already is accounted for in the first half and we expect this to continue to be in the next, in the second part of the year.
Unidentified Analyst: Okay, so those were the increases in peso terms, right?
Javier Galan: The impact….
Unidentified Analyst: Currently, there are…
Javier Galan: Excuse me.
Unidentified Analyst: Currently, Javier, basically fuel exposed to the spot market, right. Do you think there is any chance to being awarded some contract at least in the unregulated market?
Javier Galan: And you know for the client generation capacity is a regulated market and we are being paid in terms of our cost basis. It is not a marginal price like all the countries. It is basically a regulated business.
Unidentified Analyst: Okay, thank you very much.
Operator: And our next question or comment comes from the line of Ezequiel Fernandez with Scotiabank. Your line is now open.
Ezequiel Fernandez: Hi, good afternoon. Congratulations on the results. I have two questions about the Colombia operations. The first one is related to the generation side. CapEx for the quarter seems a bit high for the size of the operations, and considering it's mostly most hydro, I calculate around US$32 million for the second quarter. I wanted to know if that includes continuing works at El Quimbo and if we should expect a little bit more to be spent doing the year. And the question is related to distribution business, Codensa. If I understand correctly, there is no FX at play in the Colombian tariffs for distribution but we did see an important jump in EBITDA measured in Colombian pesos from US$310 billion to US$360 billion and actually sales have been declining, so I wanted to understand why are you getting better profit per – what measured in Colombian pesos, thank you very much.
Javier Galan: In relation to your generation, yes during the first quarter, we have some things also, some CapEx related to El Quimbo project, some things that still are pending there for El Quimbo projects or maybe that’s why you see a higher CapEx on this regard. In terms of today’s yes, the Codensa business is not linked to inflate to FX but yes we have some increase yield to a better inflation rate which tariffs are adapted to this, to [indiscernible] is the whole inflation rate. Also we have higher clients and that’s basically the increase in the numbers of distribution in Codensa.
Ezequiel Fernandez: Okay, that was very clear. Thank you very much.
Operator: And our next question or comment comes from the line of Henrique Peretti with JPMorgan. Your line is now open.
Henrique Peretti: Hi good evening. We have seen a lot of M&A going on in Brazil. Recently we saw two transactions coming in at very expensive prices, we saw Tractebel Energia acquiring a distribution asset in the South of Brazil, [indiscernible] making a bid for Tractebel Energia and yesterday we saw the pricing of Energisa peer distribution group. We recently read about the CEO of Enel talking about the acquisition of Eletropaulo [indiscernible] and we also that in local press talking about Enersis acquiring LITE [ph] or at least interested and even the proposition of Selgi [ph]. I would like to know what is your appetite for M&A in Brazil. We know that many assets are failure [ph] in the country, the timestamp of these opportunities and if you are still willing to buy distribution assets in Brazil at 34% restructuring? Thank you very much.
Javier Galan: See Henrique, yes, I mean as you know one of the and this is AmeriGas is as we have defined our equity stories is a growth company and we work – we will be seeking to grow in the region in which we operate. And yes Brazil is one of the areas in which we are looking at possible operations. We are not going here to confirm or deny what you said, what appeared in the press but what we are if we are looking at potential opportunities that may be interesting for us maybe fit with our targets and we will continue to do so. We have as you know an important amount of almost 7 million clients and a very long experience in operating distribution businesses in Brazil. So maybe I would say that that we are a company that we are a potential, a potential buyer. What I can tell you is that we are not a trophy buyer, we already in Brazil. We are not going to add any flag to our portfolio but we are going to analyze from an economic perspective point of view each of the potential operations and we will see that we are able to execute one of these opportunities.
Henrique Peretti: Very clear. Thank you.
Operator: [Operator Instructions] And our next question or comment comes from the line of Miguel Rodriguez from Morgan Stanley. Your line is now open.
Miguel Rodriguez: Hello good evening, I would like to go back to Argentina after resolution number 22 for generation which drove a meaningful improvement in margins. Do you consider that the operations on the segment are already normalized or do you see further need for improvement in pricing and what would be these additional changes in the pricing mechanism that you see for the generation segment particularly, thank you.
Javier Galan: Regarding changes in regulation in Argentina, what we see very clear is the first step is to normalize operations in distribution and that’s why the government is looking for fixing as I said before a new regime on a long-term basis. So called it [indiscernible] I think the second step I said the government has said so as to try to achieve new investment in Argentina, new capacity and I will say the first step would be to complete its regulation 22 or in the future for existing capacity. But we do not see at least it is our vision right now is in the short term to have changes on this resolution 22.
Miguel Rodriguez: Okay, perfect. It’s clear. Thanks.
Operator: And at this time, I am showing no further questions or comments. So with that said, I would like to turn the call back over to Mr. Javier Galan for closing remarks.
Javier Galan: Thank you, Andrew. Well if there are no more questions for the moment, I conclude this conference call. Remember that our investor relations team will be glad to assist you with any further questions you may have. Have a nice day. Thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may now disconnect. Everyone have a wonderful day.